Operator: Good morning, ladies and gentlemen. Welcome to Gartner's Earnings Conference Call for the First Quarter 2013. A replay of this call will be available through June 3, 2013. The replay can be accessed by dialing (888) 286-8010 for domestic calls and (617) 801-6888 for international calls by entering the passcode 27555773. This call is being simultaneously webcast and will be archived on Gartner's website at www.gartner.com for approximately 90 days. I will now turn the conference over to Brian Shipman, Gartner's Group Vice President of Investor Relations, for opening remarks and introductions. Please go ahead, sir.
Brian Shipman: Thank you, and good morning, everyone. Welcome to Gartner's First Quarter 2013 Earnings Call. With me today is our Chief Executive Officer, Gene Hall; and our Chief Financial Officer, Chris Lafond. This call will include a discussion of Q1 2013 financial results as disclosed in today's press release. After our prepared remarks, you will have an opportunity to ask questions. I'd like to remind everyone that the press release is available on our website, and that URL is www.gartner.com. Before we begin, we need to remind you that certain statements made on this call may constitute forward-looking statements. Forward-looking statements can vary materially from actual results and are subject to a number of risks and uncertainties, including those contained in the company's 2012 annual report on Form 10-K and quarterly reports on Form 10-Q, as well as in other filings with the SEC. I would encourage all of you to review the risk factors listed in these documents. The company undertakes no obligation to update any of its forward-looking statements. With that, I would like to hand the call over to Gartner's Chief Executive Officer, Gene Hall. Gene?
Eugene A. Hall: Good morning, everyone, and welcome to our Q1 earnings call. The continued effective execution of our proven strategy resulted in another quarter of double-digit growth. As we build momentum in 2013, we're well-positioned to deliver double-digit growth in our key financial metrics going forward. The global macroeconomic environment in 2013 hasn't improved since we last spoke, and it continues to be difficult. In fact, it worsened in many areas. In this environment, we continue to see robust demand across the business for our services, and we delivered our 11th quarter in a row of double-digit contract value growth. Through Q1 in 2013, as we've consistently done over the past few years, we've delivered double-digit growth in contract value revenues. As you'll hear in more detail from Chris, Gartner's performance remains strong. I'll share a few highlights. Research, our largest and most profitable segment, continues to grow at double-digit rates, consistent with the growth trends we've seen in the past 3 years. We delivered 14% contract value growth, with all geographies, all client sizes and every industry segment growing at double-digit rates. Our retention rates remain high, with client retention, 82%; and wallet at 98%. Our Events business continues to exceed our long-term growth rate target, with revenue growth of 20% over first quarter of 2012 excluding the impact of foreign exchange. As you know, our Consulting business tends to be less consistent quarter-to-quarter than our Research business, yet we continue to see great demand. So our Consulting was slightly below expectations in Q1, our pipeline for Q2 looks solid and backlog remains at healthy levels. We expect the full year to be within the guidance we issued at the start of the year. These results continue to illustrate the ongoing success of our strategy and the tremendous value we bring to our clients. I recently spent a few days meeting with several hundred of our top performing sales associates. They are excited about our prospects for growth, even in this economy. Our sales associates consistently report that our clients value our services, whether they're growing or facing budget cuts. We know how to build world-class sales capabilities, and we continue to invest in our sales force. This investment benefits from world-class recruiting, sales training and sales leadership. Our strong sales capabilities comes with world-class products and services, and our industry-leading analysts allows us to consistently deliver strong results. I said this before, and it remains just as true today, these are remarkable times for technology. Technology is transforming the world, from governments and cities to banking, health care, agriculture, manufacturing and more. The nexus of forces, social computing, global computing, cloud computing and information is driving change on a scale seldom seen. Technology has transformed how we work and what we do, and it affects every industry. And Gartner is at the heart of it. Every company, whether for-profit or not-for-profit, large, medium, or small, and any government agency in the world is a potential client, giving us a vast untapped market opportunity for our services. Gartner is the best source of help for enterprise leaders launching critical initiatives within this technology revolution. Our systems often make the difference between success and failure for our clients, and we're relevant whether the institution is growing or facing economic challenges. The successful execution of the right strategy drives our consistent performance. As some of you know, the fundamentals of our strategy are to create extraordinary research insight, develop strong sales capability, deliver high-value differentiated offerings, to provide world-class service and to continue to improve our operational effectiveness. This time-tested strategy will allow us to maintain and sustained double-digit growth into the future. I remain confident and excited about Gartner. The Gartner brand is in a class by itself; our products, services and people are superior to the competition; and we have a great business model; and we're relevant to virtually every company and government agency in the world. In summary, I'd like to leave you 3 takeaways from today's call. First, we continue to see robust demand for our services. Our vast market opportunity and our consistent winning strategy allows to once again deliver double-digit contract value growth. Second, clients value our services, whether they're growing or facing difficult budget cuts. And third, we continue to be well-positioned to achieve sustained double-digit growth in our key metrics, as we've done in the past several years. With that, I'd like to hand the call to Chris.
Christopher J. Lafond: Thank you, Gene, and good morning, everyone. As Gene mentioned, we're up to a strong start to 2013, with 14% growth in contract value and double-digit growth in total revenues in the first quarter. Our results continue to demonstrate the successful execution of our strategy and our ability to consistently deliver on the financial objectives we have communicated over the past several years. We continue to see strong trends in our key business metrics during the first quarter. Year-over-year contract value growth remains strong, and retention rates ended at/or near all-time highs. Our Events business increased by 20% year-over-year on an FX neutral basis, and our Consulting backlog increased in a seasonally light quarter. Demand for our services remained strong across our 3 business segments, even if the companies face the uncertainties of the current macroenvironment, because we are a key partner for IT and supply chain professionals and running efficient and innovative programs to drive growth in the organizations, programs crucial to the success or failure of their strategic initiatives. We're engaged on the most important projects for the institutions we work with. And this is why the successful execution of our strategy -- with the successful execution of our strategy we continue to deliver consistent revenue growth and strong financial performance and also why we're so confident that 2013 will be another year of double-digit growth. Let me now review each of our 3 business segments for the first quarter, starting with Research. First quarter Research revenue was up 13% to $310 million. Currency fluctuations had no material impact on Research revenue. Contribution margin in this segment increased almost 70 basis points to 69.3% in the first quarter, as our strong execution continues to capitalize on the operating leverage in this business. All of our key Research business metrics remained strong in the first quarter. Contract value grew to a record level of $1.269 billion, a growth rate of 14% year-over-year on an FX neutral basis. As has been the case for the past several years, our growth in contract value in Q1 was extremely broad-based. And contract value grew at double-digit rates across every geography, client size and industry segment. New business again increased year-over-year, continuing the trend we've seen since late 2009. The new business mix was balanced between sales and new clients and sales of additional services and upgrades to existing clients. While our contract value growth continues to benefit from our discipline of annual price increases and no discounting, approximately 80% of our contract value growth came from volume, with the balance coming from price increases. We've consistently increased our prices by 3% to 6% per year on an annual basis since 2005. We implemented a price increase during the fourth quarter of 2012, and we expect to do so again in 2013. Our volume growth reflects our success in continuing to grow the business by penetrating our vast market opportunity with both new and existing clients. As a result, we ended the quarter with 13,203 client organizations, up 7% over last year's first quarter. Our client retention rate ended the quarter at 82%, the same level as last year's first quarter, and we've maintained client retention at/or near record-highs for 10 quarters in a row. In addition to retaining our Research clients at an impressive rate, the clients we retained continued to increase their spending with Gartner, and wallet retention ended at 98% in the first quarter. Wallet retention is higher than client retention through a combination of increased spending by retained clients and the fact that we retained a higher percentage of our larger clients. As we've discussed in the past, our retention metrics are reported on a fourth quarter rolling basis in order to eliminate any seasonality. In summary, we delivered another strong quarter in our Research segment. We grew our contract value by $151 million on an FX neutral basis year-over-year. We continue to see high levels of demand from clients, and we expect acceleration in contract value and revenue growth over time. We remain confident in our ability to deliver double-digit annual revenue growth in this segment over the long-term. Turning now to Events. Our Events segment started 2013 continuing the extremely strong year-over-year revenue growth we've delivered for the past 3 years. In the first quarter, Events revenue increased 19% year-over-year on an as reported basis and 20% excluding the impact of foreign exchange. During the first quarter, we held 12 events with 5,788 attendees compared to 13 events with 5,707 attendees in the first quarter of 2012. Approximately $2.2 million of the revenue increase was due to the 2 events that were moved into the quarter. We also had $1.6 million in additional revenues from the 10 ongoing events held in the quarter. On a same event basis, attendee revenue was up 16% and exhibitor revenue was up 19% year-over-year. Q1 is our lightest quarter for the Events business, with the fewest number of events held. And as a result, relatively small changes in expense can impact the quarterly margin. The gross contribution margin for Q1 decreased as compared to 2012. This is related to a combination of factors, including higher operating expenses from the expansion of a major event and the move of 2 events to new venues. Looking ahead, we see strong demand for both attendee and exhibitor participation at our upcoming events. For the full year, we expect this business to grow as we guided at the beginning of the year, continuing the trend of strong revenue growth, growth in contribution margin and margin expansion that we've seen over the past few years. Moving on to Consulting. Our Consulting business tends to be less consistent quarter-to-quarter than our Research business. As Gene mentioned, we had a slower start to the year than we expected, with revenues in Consulting declining 3% on a reported basis in the first quarter. Excluding the impact of foreign currency translation, revenues decreased 2% quarter-over-quarter. Importantly, we're seeing good and steady demand for our consulting services. Backlog is the leading key indicator of future revenue growth for the Consulting business, and we ended the quarter at $97.5 million. This represents 2% growth year-over-year and a healthy 4 months of backlog. Additionally, our pipeline looks equally solid as we entered the second quarter. With the current backlog and visibility we have into the pipeline, our full year revenue expectations for the Consulting segment remain unchanged. Recall that our benchmark and core consulting practices delivered 6% FX neutral revenue growth in 2012. We're extremely careful in adding resources only to areas where we see consistent and strong demand. As a result, we began thoughtfully adding delivery resources in the second half of 2012. Prior to that, our consulting headcount was essentially unchanged since the end of 2010. We continued adding resources in Q1 of this year, including the addition of 10 managing partners. With these additional resources, our utilization rates declined in Q1. And as a result, the gross contribution margin in this segment declined versus Q1 of 2012. We fully expect utilization to recover quickly as the new hires contribute given our strong backlog position. Billable headcount of 528 was up 11% from the first quarter of 2012. First quarter utilization was 65%, down roughly 5 points from the prior year first quarter. And revenue per billable headcount ended the quarter at $404,000. We remain confident in the full year expectations for this business, and we have the backlog and pipeline to deliver on the guidance we established at the start of the year. We still expect Consulting revenues to grow by 2% to 7% for the full year. Moving down the income statement. SG&A increased by $18 million year-over-year during the first quarter. We continued to tightly control G&A costs across the entire company, and we continue to believe this expense item will provide us with a source of operating leverage in the future. SG&A will continue to decline as a percent of revenue. The SG&A increase is primarily driven by the growth in our sales force. As of March 31, we have 1,461 quota-bearing sales associates, an increase of 173 sales associates from 1 year ago. Moving on to earnings. We delivered another quarter of solid earnings growth. Normalized EBITDA was $75 million in the first quarter, up 5% year-over-year, and GAAP diluted earnings per share was $0.38, up 6% year-over-year. As we indicated when we gave our initial guidance, we expected Q1 to be our seasonally lowest earnings quarter. Also as expected, our Q1 2013 GAAP diluted earnings per share includes $0.01 per share and amortization of the cost associated with our acquisitions, including Ideas International. Turning to cash. Operating cash flow increased by 5% to $20 million in our seasonally smallest quarter of the year. In Q1 of each year, we see significant uses of cash with our annual bonus and yearend commission payments being made. Over the long term, we continue to expect to generate free cash flow substantially greater than our net income, given our tight cash management and the negative working capital characteristics of our Research business. During the first quarter, we utilized our cash to return capital to shareholders through our share repurchase program, and we repurchased almost $1 million shares at a total cost of approximately $49 million. We ended the quarter with a strong balance sheet and cash position with net cash of $64 million. Our newly refinanced credit facility runs through March 2018 and at this time, provides us with about $550 million of remaining borrowing capacity. We have ample cash flow and liquidity to continue to grow our business and execute initiatives that drive increased shareholder value. We continue to look for acquisition opportunities as a potential use of cash. We believe that repurchasing our shares also remains a compelling use of our capital, and we have $187 million remaining under our board authorization. Let me finish with a discussion of our guidance for the year. As Gene mentioned, we're reiterating our guidance we laid out for you on our fourth quarter conference call back in February. The details are in the press release, but as a reminder, our guidance calls for a double-digit growth in revenue, normalized EBITDA, EPS and cash flow for the full year. For the summarize, we delivered another quarter of double-digit revenue growth in Q1, our seasonally smallest quarter of the year. Demand for our services is strong and our key Research business metrics remained at our or near our all-time highs in the first quarter. Our initiatives to improve optional effectiveness, coupled with a positive operating leverage inherent in our business, delivered solid earnings growth and substantial cash flow. As always, we're actively exploring strategic alternatives for deploying our cash. And we'll continue to invest in our business and return capital to shareholders through our share repurchase program, and we expect to repurchase shares throughout 2013. Finally, the double-digit growth in contract value in the fourth quarter -- we continue to build a solid foundation for delivering strong revenue and earnings growth in 2013. We are well-positioned for double-digit revenue and earnings growth and increasing returns to our shareholders over the long term. Now I'll turn the call back over to the operator, and we'll take your questions. Operator?
Operator: [Operator Instructions] And your first question is from the line of Tim McHugh, William Blair & Company.
Timothy McHugh - William Blair & Company L.L.C., Research Division: So first one, I'll just ask about the sales productivity. It looks like it was kind of flattish year-over-year. Was there any variance in that kind of by market? I know you said the revenue growth wasn't, but how should we think about sales productivity at this point?
Eugene A. Hall: Hey, Tim. It's Gene. So in -- when we laid out the guidance with you, one of the things we've said is we were assuming a flat macroeconomic environment around the world and no increase in sales productivity in our plan. And the -- if anything, the macroeconomic situation is worse. If you look at Europe, Europe has actually got the worst decline in last year, Asia's growth has slowed and the U.S. certainly has not accelerated. And so our sales productivity has been -- even in that environment, has been flat. And the -- if you look at it underneath the covers kind of what's going in different geographies, whatever, there's nothing really different going on there because we're getting pretty much, as I talked about, you got double-digit growth across every geography, across every industry segment and across every size of company. And so there's nothing kind of different that's happened in Q1 than in the past.
Timothy McHugh - William Blair & Company L.L.C., Research Division: When you say the -- just before the macro environment has worsened, are you talking -- I guess, based on your own interpretation of headlines and -- or are you talking more about feedback you hear from salespeople in the business?
Eugene A. Hall: No, just the what the stated -- so not our feedback from salespeople, but more the -- what you -- what the economic analyzers say. So look -- if you look at Europe, Europe's growth this year has been more negative than it was last year, and it's expected to continue that way. So it's not from our salespeople; it's from the economic experts. Our salespeople, again, it's -- I think from a salesperson's perspective, it's the same kind of environment. They see individual companies and/or individual institutions, some of them were doing great in terms of their own growth, some of them have financial problems, and we can help any of those institutions. And so I think from a salesperson's perspective, it's kind of the same.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. And then on the Consulting business, I know last quarter -- or you had talked at least for last year how the contract optimization business was the source of weakness, but you saw good growth in kind of the remainder of the core benchmarking type of practice. Is that a similar distinction, or any color in terms of the sublines within Consulting?
Christopher J. Lafond: Hey, Tim. It's Chris. Just a couple of things. As -- if you recall what we had talked about around our Contract Optimization business going this year is, we assumed it would be flat to the prior year, and that's kind of how we're trending overall. And so, what we're really seeing is across the business, flat to slightly down across all of the businesses, and it's kind of consistent around the world. And as I said on my -- in my talk track, we've added quite a few delivery resources, getting them all up to speed, getting them all productive has put some pressure on the margin, some pressure on the utilization as we get all those people up to speed. So we feel very comfortable that we've got a good strong backlog, that we're seeing continued demand across all those segments. And we will continue to deliver the results that we expected at the beginning of the year in that kind of 2% to 7% range.
Timothy McHugh - William Blair & Company L.L.C., Research Division: And can you remind me the number of managing directors that the 10 -- I'm assuming that was kind of a net number, but 10 increase there. I'm trying to get a sense of how significant that is of a general [ph].
Christopher J. Lafond: We now have, with those additional 10, about 80 to 82 managing partners. So it was -- we've continued to invest there, as you know, over the past few years, and it was another nice step forward as we expected to. This year has been working for us really well. But bringing them in onboard takes a little bit of time to get them up to speed, but we feel very comfortable. We're still executing the strategy that makes good long-term sense both for the Consulting business and for the Research business as we continue to focus the selling activity inside of the consulting organization itself.
Operator: Your next question is from the line of Joseph Foresi, Janney Securities.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: My first question here is just on the sales force productivity. I know you'd given some rough parameters on what you're hiring plans were there, any changes in those plans? And maybe you can give us some update on what the sales force hires look like, I guess, at least through the first quarter.
Eugene A. Hall: It's Gene. So great question. So there's no change in our plan for hiring for the year. In fact, as -- Chris will go through this in a second, we actually accelerated our hiring in Q1.
Christopher J. Lafond: Yes. So, Joe, we increased our sales force by about 13% year-over-year; that's a little faster than we were last year. If you remember what we said last year, it was that as we saw productivity not improving as quickly as we wanted to, we kind of took a pause and looked at where that was happening and reallocated some resources. We feel very comfortable with what we're seeing. We started this year with the expectation that productivity would not improve given our expectations for the environment at a macro level. That's exactly what's happening. And so, we're very comfortable with what we're seeing, and as a result, we've begun to accelerate and fully expect that we'll be in that 15% to 20% range this year as we end the year.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Got it. Okay. And then on the Consulting business, any change in the type of mix on the deal side? Or any change in decision-making, particularly on, I guess what we'd call, discretionary work?
Eugene A. Hall: Yes, it's Gene. I'd say there's not any. I think the -- what you're seeing in the Consulting business is more just a normal variation from quarter to quarter. As Chris said, we don't expect any change for the full year. It's worth spending probably a minute and just talk about, reminding you about -- everybody about the strategic role consulting, which is -- the strategic role consulting is to help support our Research business. Let me elaborate for a second. So in our Research business, clients access research documents online we produce for analysts, in addition, begging to have our phone calls. There's -- and that's the primary way to deliver on our Research business. There's a set of our customers, particularly the very large institutions, that would like more in-depth help. And so, the reason we're in Consulting business is, for those clients that want that more in-depth help in areas that they're getting a research on. Our Consulting business provides a view for doing that, and so that's kind of a strategic role of the Consulting business. And so we're growing it. As you know, our objective is to grow it a bit slower than the other Research business. It's because that's the rate we think actually provides the best support to this Research business. The other thing is, which is really great, it supports the Research business, but it has really good margins, and has the -- so we're doing it at a very profitable rate as well. And so the -- we're not kind of in consulting, for its own sake; we're in consulting as part of integrated strategy with the Research businesses.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Okay. And last one for me, just going back to your comments about the macro. That was clearly just directed towards the headlines. I mean, given your guidance and your reaffirmation of guidance, I assume that the macro hasn't changed from what you'd built into the original guidance, is that correct?
Eugene A. Hall: Yes, that's correct. Exactly.
Operator: Your next question is from the line of Peter Appert, Piper Jaffray.
Peter P. Appert - Piper Jaffray Companies, Research Division: So Chris, margins, down a little bit year-to-year, and I understand there's seasonal factors and obviously, the consulting Events business weigh on it. But does it cause you to rethink at all the expectations for margins either on a near-term basis or target for margins over the next couple of years?
Christopher J. Lafond: No, not at all. I think when you look at -- in the quarter, everything is trending as we would normally expect. So when you look at our Events business, doing incredibly great. And yes, the margins there, as I mentioned in my talk, were down, but we had expected that. We had expanded an event in a pretty significant way. We moved a couple events to new locations as we continue to grow those events. And often as you move events and effectively expand, which tends to be like relaunches, those margins tend to have a -- to be slightly lower initially and then grow, and that's exactly as we expected. So the margins, we expect, will come back, as we do with all the other events. So we know how to do this. We know how to launch events. We know exactly what the expectations are and they point -- they're running at exactly as we expected them to. So no issues at all on the Events side, and still expect a great year and continued margin expansion. As I mentioned, on the Consulting side, it was quite some time before we added resources. We had -- essentially had flat Consulting organizations since 2010, and so we'd not added resources quite some time other than adding managing partners. But even there, the overall headcount was only up very little bit. So we added some resources there. We fully expect utilization will come back. We have the backlog, the pipeline that we see, so we feel very comfortable there and still expect that, that business will -- margins will continue to expand. So overall, nothing we've seen in the quarter gives us any pause or a concern either for the year or over the long-term.
Peter P. Appert - Piper Jaffray Companies, Research Division: Great. And then you also highlighted an expectation that you would get back to the 15% to 20% sales force growth by the end of the year. Should we read into that an expectation that we could see sequential acceleration in contract value growth as the year progresses?
Christopher J. Lafond: Well, Peter, what we said at the beginning of the year and we continue to say is, we fully expect that we will see that acceleration happen over time, and it's a question of when. As we said, this year, we didn't expect the economy to improve, we didn't expect sales productivity to improve. The environment is challenging, and the environment our companies are facing our challenging. We're still performing great. As you can see, we're still continuing to deliver 14% contract value growth, retention rates, all of our key metrics are at or near all-time highs, remaining on the trends we've seen. So we feel really good about what we're seeing, which is why we're continuing to pretty aggressively grow the sales force, and we'll continue to do that. And now, the question will be, as things start to stabilize in the world, hopefully, start to see acceleration. And as we also told you, we're not sitting around waiting for the world to stabilize. We're doing lots of different things in our business all the time to improve, to improve sales productivity, to improve how we operate, to improve what we do and deliver to our clients. And so we're going to continue to do those things. And it's our expectation that we will see that acceleration. I can't tell you it'll be next quarter or 3 quarters from now, but we fully expect it will come.
Peter P. Appert - Piper Jaffray Companies, Research Division: Got it. Okay. And then, Gene, you highlighted in your starting comments the strength across the portfolio in terms of end user markets, et cetera. Any in particular that you would call out in terms of areas where you're seeing a particular strength in terms of end user markets or geographies? And then sort of related to that, any comment in terms of sequestration, are you seeing any impact on your results from that?
Eugene A. Hall: Yes, Peter. So in terms of particular markets, again, there's no new news there. As I said, we're seeing double-digit growth across everything, and so there's nothing different in Q1 about that. In terms of sequestration, as you know, we're a business that -- we know how to deal with institutions that are either doing well or not doing well and that have budget problems or no budget problems. And the -- this is not the first time that we've dealt with a federal government, or any government institution for that matter, that has sequestration -- has budget kinds of things. And we deal with this, not just for the U.S. Federal Government, but other governments all the time. We're used to -- we know what we're doing with it. In addition to that, as you know, we are highly diversified geographically and by industry, and so the combination of the two is the fact that we know how to deal with these situations. And the fact that we're so highly diversified by geography and by industry makes it so that it won't have a meaningful impact on us.
Operator: Your next question is from the line of Eric Boyer, Wells Fargo.
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: I was just wondering, could you give us the core consulting growth x the contract optimization? I think you said it was 6% for 2012, what was it in the quarter?
Christopher J. Lafond: Hold on one second, Eric, we'll get that. The -- yes, so it was -- if you look back last year, core and benchmarking was up 6% for the full year. It is effectively, I think, flattish year-over-year. So I think it's essentially a 0% growth in that business for the first quarter.
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: Okay. And then did you see an acceleration within kind of the other areas x your contract optimization throughout the quarter into this quarter that kind of give you confidence that you think the consulting piece of the business is going to snap back here?
Christopher J. Lafond: What we saw, as I talked about, we saw a couple of things. We continued to see good bookings, which is why our backlog continues to remain strong. We still have 4 months of backlog. We saw a good demand around the entire world. So we didn't see dramatic differences in different parts of the world in terms of performance. So the pipeline looks really solid as well going forward into next year. So not only did we have good bookings in the quarter and good backlog, we have good pipeline looking forward. Q2 looks pretty solid for us. We brought a number of delivery people on and managing partners on, given the demand we saw. So for all those reasons, we feel very confident that we will continue to see that kind of growth expectation we've set at the beginning of the year. There's nothing we saw in our Q1 results, nothing we see in the forward-looking pipeline that suggests otherwise.
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: Any type of work or area that you're seeing particular strength in within Consulting? And then the resources that you're bringing on, where are those onboarding onto?
Christopher J. Lafond: I wouldn't necessarily say I think we've seen any dramatic change in the business from what we saw last year going into this year in terms of practice areas. One of the areas that always remained strong is our benchmark business. That's been a very solid business. In every environment, companies like to benchmark, so that business continues to be solid. We fully expect to see continued demand of Contract Optimization. As you know, that business can bounce around a bit, depending on when clients choose to engage in some of those larger transactions, but there's always a flow of activity there. So -- and we've added resources around the world; we've added resources in certain parts of Europe; we've added them in benchmark; and we've added them in the U.S. So we've been adding resources pretty broad-based, based on where we're seeing that. But again, it's not one little pocket. There's some pretty nice strength that we see in the backlog and in the pipeline.
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: And then finally, any change that you're seeing in the sales force attrition rate as far as voluntary attrition?
Eugene A. Hall: So our sales attrition rate has gotten a little bit better. But it's kind of, like, put it in the -- it's not like it's -- and we have very good sales attrition, and it just got a little bit better. So I'd say, no real news, but if there's any -- if there were any news too, it's good news.
Operator: Your next question is from the line of Jeff Mueler, Baird.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: I know this is a relatively small dollar amount, so I hate to keep beating this dead horse, but on Consulting, was it more of a client pause maybe around some of the macro and legislative uncertainty around yearend? Or was this more of a -- just an execution issue as you brought on some new people, you moved some people around as you brought on 10 new managing partners, was it more of a client issue or execution?
Eugene A. Hall: Yes. Hi, Jeff. It's Gene. I'd put it actually to a different category, which is, the nature of our Consulting business is, you go negotiate a deal, and these things are -- when they start, et cetera, it depends on kind of the client's situation. And so it's just intrinsically more variable from quarter-to-quarter than if you look at something like our Research business, for sure. Even our Events business, we know -- when we have an event for the quarter, we know what kinds of things to expect. So Consulting projects will slip a little bit between one quarter and another quarter. And I look at this more as being just a normal variation to slippage from quarter to quarter. And as we said, as you look at our backlog, and our. Pipeline kind of supports that. As opposed to this something like it had to do with some macro factors, something like that.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Okay. So I think just a follow up then on the last question, so have you started to see those client situations, that variability, have they start -- the projects started in March and April, then?
Eugene A. Hall: We had a bunch of projects -- a bunch of business that came in, in April that might have come in, in March and happened to flip into April, absolutely. And so again, we're seeing we're on a pretty good track there.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then on Events, can you just help us with revenue growth? It looks like total number of attendees was just up slightly. Was this price increases on the events, was this some shifting in terms of the mix between higher and lower priced events?
Christopher J. Lafond: It's a combination of things. We've moved some events out of the quarter, some events into the quarter. So as we always do, we have a little bit of movement around. And so sometimes you see a big event move and a smaller one move in and vice versa. We certainly did see some nice price increase and mix. So some of the events were different size, so the pricing on those events tends to be higher. So it's a combination of factors that drove the revenue and drive the performance, and it's -- we look at it and we look forward. We still feel very confident. Again, if you look at the same Event business, attendee revenue, up 16%; exhibitor revenue, up 19%. The prices are up as we would expect them to be, both from a mix perspective and just annual price increase. So everything is flowing as we expected.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just finally, I hear you loud and clear that you continue to plan to repurchase stock. I wanted to ask a question on the expected pace of repurchases borrowing, some sort of big M&A deal, but asking that in the light of now, you have a net cash positioning, you just locked down some pretty good credit facilities that extend out for good duration, so would you expect to step up the pace of repurchases relative to what you guys have done in the last couple of years?
Christopher J. Lafond: As you know, we tend to be pretty aggressive in share repurchase. If you look back over a number of years, we've spent quite a bit of money on share purchase, and we will continue to do that. We tend to be in the market regularly, but also, try to be opportunistic where we can be. So we try to do the best we can in terms of the timing of our share repurchases, but we will continue to be aggressive. And as you just mentioned, we took advantage of the current credit markets to lengthen and expand our credit facility so we have plenty of capacity for both acquisitions and share repurchase. And we fully expect both will be things that we will do over time.
Operator: [Operator Instructions] And your next question is from the line of Gary Bisbee, Barclays Capital.
Gary E. Bisbee - Barclays Capital, Research Division: I guess, the first question, how do you think about and how do you focus the sales force on trying to increase the number of seats at existing large customers versus adding new customers? And is one of those easier or more difficult in a more challenged economic environment like we're in today?
Eugene A. Hall: It's Gene. So the -- we - it's a good question. We basically ask our salespeople to do both. Most of our salespeople have an existing client base, and we have a whole set of programs and strategies to support our salespeople. They're designed to increase the number of seats at existing clients. We actually track it pretty carefully, and that's going very well. Similarly, we have a set of programs that are designed to continue to grow the number of new clients as well. So we think we need to have a balance of new clients, as well our growing -- our existing clients. Both of those sets of programs are working very well. There's the -- as I mentioned before, the way that we think about it is not in the macroeconomic environment, but what's going on in the individual company level. And whether a company is doing really well or whether a company is under severe financial pressure, we have the ability to help them, and clients understand we're able to help them. And so we don't have any problem either adding seats or in selling new clients, even in very difficult macroeconomic situations. I mean, even in very difficult individual company situations, in fact, just as an example, I talked last year how Spain has one of the worst economic environments in the world, and we had very good double-digit growth in Spain. I could give you several other markets of the same kind of way. And so we're not -- we have -- it's -- selling to a new client is important, selling to existing -- more existing clients is important. We have progress in both of those, and we know how to sell both situations in whether the company or institution is doing well or whether they have all kinds of cost pressures.
Gary E. Bisbee - Barclays Capital, Research Division: Okay. And are there any particular areas of strength or weakness in terms of demand within the Consulting business? You continue to say you're seeing broad-based strength or demand everywhere. And I guess, it -- 3 of the last 4 quarters, Consulting revenue has fallen year-over-year. It just doesn't really -- it doesn't really necessarily tie with some of the other commentary you gave.
Christopher J. Lafond: So when you look at our Consulting business from the perspective of, is there a change in the trendline in terms of where the demand is, and the answer to that is no. There's no individual place that I would say is dramatically different as we sit here in Q1 today than we saw last year. So if you look at each of the 3 major segments, as we've talked about repeatedly, our Contract Optimization business tends to be a bit lumpy, and it tends to be when clients choose to exercise those deals and choose to move ahead and execute on a big transaction; that can vary. And it varies not only with clients' but at vendors' yearends. And so there's lots of reasons that business varies, but I would say we're not seeing versus what we saw last year. We expected that business to be relatively flat year-over-year. We're not seeing any indication that, that's any different, so we fully expect that to be relatively flat for the full year. When you look at our benchmark business, that business tends to be fairly consistent year-over-year. It had a really good strong year last year. People do like to benchmark in all economic environments. It's something that continues to be a good strong demand for clients. And then our core consulting business, which has a number of different practice areas around the world, and then a lot of different industries were seeing relatively consistent demand. As I said there, it's flat year-over-year, so nothing dramatically different from what we saw in Q1 of last year. So that's kind of what we're seeing right now. We certainly have seen backlog, as Gene talked about, some of that backlog is backlog that will be run out over a longer period of time, so back out -- into the back half of this year. But we have good solid backlog. We still see good pipeline, and the pipeline that we're seeing suggests everything I just talked about will continue in that Consulting business.
Gary E. Bisbee - Barclays Capital, Research Division: And then just lastly, are there -- what types of things would you look to acquire? Is it more geography, are there holes in the prior -- probably not holes, but extensions that seem obvious to you to the existing product line? How do you think about what would be on the type of transaction you'd be looking for?
Eugene A. Hall: It's Gene. I guess, we've done 3 transactions in the last 9 years, and I think that's a pretty good indicator of the kind of things that we look at. And so I think you've -- I'm sorry, 4 transactions. And if you look at those, they all had a common theme to them, which is that they had products that were highly complementary to Gartner; they were syndicated research-type products. And so I think, you could look -- our history is a good guide for how we think about acquisitions.
Operator: There are no further questions, so I'd now like to turn the call over to Brian Shipman for closing remarks.
Brian Shipman: Great. Thank you. And thank you, everyone, for your interest in Gartner, and we'll speak to you next quarter.